Jeff Edwards: Good morning, everyone, from the Lone Star state, and welcome to Schwab's 2023 Spring Business Update. This is Jeff Edwards, Head of Investor Relations, and I'm joined today by our Co-Chairman and CEO, Walt Bettinger; President, Rick Wurster and CFO, Peter Crawford. Before we jump into the presentation, I'd like to touch on a few housekeeping items. Today's setup is obviously a little bit unique with the business update immediately following this morning's release of our strong first quarter results. That being said, our time here today will still be dedicated to providing you with a broad strategic update of our growing business. Similar to past events, I will be helping facilitate Q&A. So given recent events, the team has a fair amount they like to share with you. So dedicated Q&A time may end up being slightly shorter than usual. Therefore, it is very important that we all strictly adhere to the one question, no follow-up format that has been in place now for several quarters. And we also ask that you vector clarifying a more tactical questions regarding the recently reported quarter to the IR team. Today's slides should be available on the IR website momentarily. And finally, before we move on, let's not forget the mighty wall of words, which reminds us all that the future is uncertain, so please stay in touch with our disclosures. I'd like to turn it over to Walt then.
Walt Bettinger: Thank you, Jeff, and hello, everyone. Thanks for joining us for our April business update. This is an important opportunity for our team at Schwab to speak directly with all of you to speak with accuracy and facts and to speak with clarity and transparency. We know that the past few weeks have been very challenging for long-term stockholders, which, of course, all of our executives at Schwab are also, me included. Let me start by making a few crystal clear statements. First, our clients, although curious and somewhat surprised about the downward movement in our stock price, remain fully engaged with us and are bringing substantial assets to Schwab on both the retail side and the RIA advisor side. We are winning in the marketplace among clients. Anyone suggesting otherwise, is mistaken. Simply put, our franchise strength and financial model remain very much intact. Second, we did not and have not changed our multi-decade approach to conservatively managing our bank balance sheet. Any suggestions to the contrary of that are false. And although our near-term cost of funding are higher than recent historical levels, and as a result, will impact our near-term earnings. This cost is temporary and should diminish over the coming quarters and could wind down between now and the end of 2024. And third, we are well into the execution of the conversion of the former Ameritrade clients to Schwab. And as we progress through this conversion and beyond, we will ultimately realize substantial expense savings, well beyond the remaining $500 million to $600 million we originally committed to as part of the Ameritrade integration synergies. Now looking at the first quarter, it was a complex environment for investors. Although the equity markets overall performed quite well, investor sentiment was actually quite negative throughout the quarter. The Fed raised interest rates another 50 basis points, while the 5- and 10-year yield on treasuries fell by 39 and 40 basis points, respectively. And yet despite negative investor sentiment, this wasn't reflected in our clients' engagement with us. Clients entrusted us with over $130 billion in core net new assets, with the monthly level increasing each of the 3 months of the quarter, peaking with over $50 billion in March and achieving an organic growth rate in excess of 7%, once again validating our long-term track record of growing client assets in every economic environment. In addition to growth in client assets, clients remained engaged with us in other areas with another quarter of over 1 million new client accounts, over 5 million daily average trades, a Client Promoter Score or Net Promoter Score of 66 and almost $9 billion moved into our investment advisory solutions. Let's go ahead and transition from our client results to discuss some of the corporate financial areas that have been in the press on the minds of investors. And in too many cases, falsely described by some competitors who have tried without much success, is evidenced by our near record March level of net new asset flows to scare clients into leaving Schwab. Again, our franchise and financial model are strong. We have substantial liquidity. We have capital well in excess of regulatory requirements, and our strong profit margins deliver ongoing organic capital formation, which can be used to meet future capital needs. We have industry-leading levels of FDIC insured balances at our bank, our investors' bank. Our balance sheet and investments were and are conservatively managed and managed in a manner consistent with how we have managed our bank balance sheet for the last 2 decades. And for our long-term stockholders, we have great confidence, and our ability to deliver a combination of growth and capital return, just as we have for almost 50 years. So I'd like to go into a bit more detail now on each one of these statements. I've publicly stated multiple times and in multiple formats that we cannot foresee any plausible scenario where we would have to sell securities to meet the liquidity needs of our clients, and that's not an accident. Because we have always planned for the potential of time periods where high liquidity needs exceed our available cash. Of course, these time periods tend to occur when the Fed is raising interest rates rapidly. And while this cycle of interest rate increases has been historically rapid, leading clients to realign their investment cash more quickly than we had predicted. Our advanced planning ensured that we would have the necessary liquidity to meet their demands. We prepare in part by minimizing the issuance of CDs and/or borrowing from the FHLB during more normal times, effectively keeping that dry powder for periods of higher liquidity needs. Of course, accessing this higher cost funding is not something we expect to be anything other than temporary, currently projected to wind down over the next 7 quarters and be largely gone by year-end 2024. I would certainly hope that by this point in time, the short driven speculation that we would find ourselves in a position where we would be forced to sell securities that have temporary paper losses has been put to bed. From a capital standpoint, we have solid levels today, well in excess of regulatory requirements. And we understand the possibility that the AOCI opt-out might well be eliminated and the questions that, that raises about the potential need for capital. At this point, if this scenario does play out and a reasonable time frame is afforded to build the capital to support this change, we feel confident today in our ability to build the necessary capital organically, given our strong profit margins. Even in the stressed market environment this past quarter, we achieved an adjusted pretax margin of almost 46%. And even under some of the most pessimistic scenarios for the future, we are at least 40% pretax. And of course, our unrealized marks on certain securities decline over time, and they've also declined as interest rates have modestly moderated, declines that you'll see happening when you review our first quarter 10-Q. The conservative nature of our bank management is also reflected in the very high percentage of deposits insured under the FDIC limit. At quarter end, approximately 86% of our bank deposits were under the FDIC insured limits. In addition, these deposits are spread among tens of millions of investor accounts. And lastly, there are no groups of investors or advisers who directly influence or encourage collective behavior. The 10 RIA firms whose clients hold the greatest amount of cash on our bank balance sheet, account for barely 2% of total bank deposits and the average transactional cash per account for those RIA firms is less than $13,000. I hope these facts remove any concerns about some sort of ordinated action potentially happening that would meaningfully impact our bank deposits. This is a very important slide. I'd like to dive deeper into our clients' cash behaviors. I know this is a critical area of interest, particularly as it could apply to future levels of bank balance sheet cash and client cash realignments. As I've discussed in the past, when interest rates are near 0, clients tend to co-mingle their transactional cash and their longer-term investment cash together. Of course, there's very little incentive during times like that to move their investment cash into solutions that offer higher yields than bank sweep. But when interest rates rise, we reach out to clients and suggest they consider realigning their investment cash into other solutions, whatever the client sees fit, whether that would be a purchase money fund -- a purchase money market fund, a CD, a treasury security or another appropriate cash solution that the client is interested in. And of course, this has been taking place, predominantly inside Schwab, as rates have been rising over the past year or so. The rate, pace and ultimate level of this realigning has a large impact on our near-term financial results. So not surprising, we study it closely, and we have models that estimate how it will unfold. By several measures we study, we believe that this cash realigning process is now slowing and getting closer to its endpoint, which should then likely reverse to a stage where bank balance sheet cash begins to grow as a result of our organic net new asset growth as well as new accounts that we attract. Now in terms of the slide, we've included a chart that goes back to 2004, and it illustrates multiple time frames where interest rates were relatively high as well as several time frames where interest rates were near 0, often referred to as ZIRP periods. When we study this information, RIA per account basis, what we see as the most accurate way to model this. Transactional cash per account is down to an average of approximately $10,400, a level as low as we have seen in the past 20 years and down about 50% from the peak period during the COVID pandemic. From a percent standpoint, transactional cash per account is at a 20-year low of approximately 5%. Now could it go lower? Yes, of course, but we believe it is closer than ever to finding its ending point. Here's why. If you look at daily Schwab Bank cash movements, a key metric for identifying trends far more important than a quarterly summary. February of this year was lower than January. And if we adjust for the single day after the Silicon Valley Bank failure, where cash movement was modestly elevated, March was lower on a per day basis than February. And through the first half of April, even allowing for tax payments, April is also lower than March, measurably lower. Lastly, it's important to recognize that while some clients did readjust their cash allocations in response to the Silicon Valley Bank failure by buying treasuries or CDs or moving from prime money funds to treasury or government money funds, we also saw a sharp increase in new cash coming into Schwab, consistent with being a safe port in the storm. Now this slide is also a particularly important one as it provides factual information around a topic that has been fraught with inaccuracies in the press and blogs alike that incredibly to me often relied on speculative information from short sellers and competitors. Schwab Bank is a bank for investors. We manage client cash at our bank conservatively and consistently. We manage this cash in the same way we've managed it for the 20 years that we've had our bank. We make what we consider to be conservative loans, almost exclusively to our existing investment clients. Now these loans are either backed by our client securities portfolio or loans against their personal real estate. This makes up about 12% of our assets. We do not make commercial loans as speculated by one of our competitors on national television. The balance is invested primarily in securities. And with this balance, we look to manage credit risk by investing between 85% and 90% in securities backed by the U.S. government or its agencies. That's our approach to credit risk. Now let's talk about duration risk. Again, an area that has been fraught with misinformation. First, let me begin by saying it's important not to confuse as unfortunately some less than savvy alleged researchers and analysts have that maturity or weighted average life is not the same as duration. We have many floating rate securities that have a long life, but essentially zero duration and therefore, do not contribute to negative marks with higher interest rates. And of course, offer increased yields as rates rise. Second, we do not now and never have tried to guess future interest rate movements. Doing so is a fool's game. It's like trying to guess stock market movements. We don't guess and we don't try to time interest rate movements. Our approach is very straight forward. We have historically managed our bank investment portfolio to a duration range between 2.75 and 4 years. And we were approximately 3.5 years as rates began to rise in mid-2022, admittedly, nearer the higher end of our historic range than the lower end of fair criticism. Importantly, our overall duration across the firm's aggregate balance sheets, which includes the banks and the broker-dealers, was about 2.5 years. That is it, not 5, not 10, but 2.5 years. And we all know that even at 2.5 years, this is not low enough to avoid temporary paper losses when rates rise close to 500 basis points in a year. We just felt it was important to be transparent on where we were as this rising rate cycle began. So again, we did not change our historic approach during the COVID pandemic. Contrary to some items I've read and heard, we did not buy securities that would take us out of our historic duration range. But even more bluntly, we did not go out and load up our securities portfolio with long-dated bonds during the pandemic period. Now it can be a fair criticism that we should have changed our 2-decade approach to consistently maintaining a relatively short-term duration bank portfolio during the COVID pandemic in favor of holding primarily cash. That's fair to say. And if we would have known that the Federal Reserve was going to raise rates faster than they ever have in history, in retrospect, that would have been a brilliant move to make. What we did do was to begin to build up higher levels of liquid cash in late 2021 as transitory comments about inflation from the Federal Reserve waned and in early 2022 as the Federal Reserve began discussing increases in interest rates. We increased our normal cash allocation about $60 billion. But given the pace that the Federal Reserve raised rates and therefore, the pace of the resolving client cash realigning, again, in retrospect, $60 billion was not nearly enough, and that led to our need to execute on our other liquidity measures. I started my comments by making clear that our financial model and franchise strength are intact. So the obvious question is, how this manifests itself in terms of earnings growth and our ability to deliver for our stockholders? It's well understood that the temporary cost of higher funding from CDs and FHLB loans will impact our near-term revenue growth and earnings. Hopefully, it is also well understood that, as these borrowings are paid off, that will be an accelerant to our medium-term earnings. But as client cash realigning moderates and eventually reverses and the headwinds from higher cost, temporary funding sources diminishes over the next 7 quarters, what remains? What remains is an extraordinary company. We have a diverse client base spread across approximately 35 million accounts. We have a track record of delivering exceptionally strong organic asset growth in every environment. We are completing the integration of the former Ameritrade client base and adding world-class trading capabilities, along with approximately 10 million new clients, who will be exposed to all the additional products and services that Schwab offers that were not available at Ameritrade, and millions of existing Schwab clients will be exposed to the world-class retail trading platforms that were previously only available to Ameritrade clients. And as a result of the integration process winding down, along with investments that we have made in enhancing efficiency during this integration process, we will be in a position to substantially reduce operating expenses. Again, as I stated, well beyond the remaining $500 million to $600 million we originally committed to as part of the Ameritrade integration synergies. It's a powerful formula. It's a winning formula, and I'm confident that it will be a formula that delivers for our long-term stockholders, as it has since we went public in 1987. So Peter, let me turn it over to you to talk some more about our financial results and projections.
Peter Crawford: Well, thank you very much, Walt. So there are 3 key points I want you to take away from my portion of the presentation today. First, we're navigating this extraordinary period from a position of strength with robust organic growth, high level profitability, strong and growing capital levels and access to significant liquidity. Second, although the volume of client cash allocation activity has exceeded the expectations embedded in the financial scenario we shared a few months ago, as Walt mentioned, we are seeing signs of the pace beginning to moderate, and we continue to expect a resumption of deposit growth in 2023. And third, our focus at Schwab remains on our clients. And while the various dynamics we're working through create some near-term headwinds, our business continues to power ahead, reinforcing our confidence about the long-term strength of our diversified model and our ability to keep delivering on our through the cycle financial formula. Let's start by briefly reviewing our first quarter results, which we released earlier this morning. Among the many advantages we have as we navigate through this period is our financial strength, our sustained earnings power. There has been so much attention to the balance sheet and dynamics influencing net interest revenue that it feels like some have lost side of the fact that nearly 50% of our revenue comes from other sources such as asset management fees and trading. And while the remaining half is generated through net interest revenue, roughly 1/3 of our interest-earning assets are floating rate, meaning the yield on those assets has increased dramatically in the last 12 months. That diversified all-weather revenue model is reflected in our strong Q1 financial performance, during which we grew revenue by 10% versus the first quarter of 2022. We grew adjusted earnings per share by 21%, and we delivered an adjusted pretax margin of nearly 46%, a level nearly unsurpassed in the financial services industry. Turning to the balance sheet. The evolution of our balance sheet during the quarter reflected continued client cash realignment. We supported this by utilizing temporary funding sources, including issuing more CDs and securing additional advances from the FHLB. Our usage of these was front-loaded and increased modestly by our decision consistent with our conservative management approach to build extra liquidity within our banks, almost doubling the amount of cash on hand in the month of March. Now we also opted to suspend our buybacks during the quarter. And our strong earnings supported organic capital formation, which allowed us to maintain our Tier 1 leverage ratio at 7.1%, well above the regulatory minimum. I know there's been much written -- we'd argue too much written about the tangible common equity ratios, our banking subsidiaries. But those ratios have all increased significantly from the 12/31 levels due to both a $2 billion reduction in the unrealized mark-to-market losses and continued strong capital formation. Those of you who followed the company for a while know that we have a long-term orientation executing a strategy and business model that has delivered for clients and stockholders for multiple decades. I want to emphasize that the current challenges we're facing are quite manageable and the impact on our financial performance is near term, which means that Schwab's long-term financial model of growth plus capital return remains firmly intact. Though, as we have discussed, there are some early signs of moderation of the client cash allocation activity, the overall level to start the year has exceeded the assumptions incorporated within the scenario shared with winter business update. That means we've utilized a higher level of supplemental funding with the vast majority of that now expected to be paid off by the end of 2024. This temporary -- emphasis temporary mix shift toward higher cost of funds is expected to pressure the next few quarters of revenue at which point the impact should start to decrease, reverse. We now expect Q2 revenue to be down a mid- to upper single-digit percent versus the second quarter of 2022. But it will have very minimal impact on our long-term financial performance, with our NIM, net interest margin still poised to increase throughout 2024 and approach 3% by the end of 2025, even if rates fall from current levels as the market anticipates. Now it's important, I think, to put that NIM outlook into perspective. As I mentioned earlier, net interest revenue only accounts for half of our revenue. And with an adjusted pretax margin well in the upper 40s, we can continue to produce margins that would be the envy of most other financial services firms even as we navigate these dynamics. And remember, that all this has been happening, we have been adding clients, adding net new assets, increasing the adoption of advice and lending and moving forward on the Ameritrade integration. Regarding expenses, disciplined expense management has been a hallmark of our financial formula. And throughout our history, we have taken steps to pull back on our spending when we're facing environmental headwinds without sacrificing the client experience or undermining long-term growth. As Walt said earlier, we feel very confident about our ability to deliver over $500 million of expense synergies by the end of 2024, as we complete the integration of Ameritrade. And as we do so, it's also a good opportunity for us to take a step back and examine our overall spending levels to look for additional efficiencies as we continue our decade's long focus on driving down our expense on client assets, or EOCA, which we view as a key competitive advantage. And finally, our capital ratios -- our capital position, our capital ratios remain very strong. As Walt noted in his remarks, even if we have to eventually absorb AOCI into our regulatory capital ratios, we see a clear path organically for our Tier 1 leverage ratio, inclusive of AOCI, to exceed 5% within the next year and cross 6.5% by the end of 2024, even if rates stay flat, thanks to our strong earnings, a reduction in balance sheet assets even after deposit growth rebounds as we pay off the supplemental funding and the continued reduction of our AOCI as our securities portfolio matures. And I note that, again, even if rates remain flat, we'd expect those mark-to-market losses to decrease by a further $7 billion between now and the end of 2024. And obviously, more if rates fall as the market is expecting. Putting it all together, we're not blind to the near-term dynamics we're navigating, but we're very confident that our financial formula will reassert itself as we emerge from this period. And that formula, of course, starts with taking care of clients, growing accounts and assets, deepening relationships, building our capabilities, expanding our moat. That is what builds long-term earnings power and will be the driver of performance for our stockholders over time. And to tell you more about the strength of our franchise and how we're continuing to serve our clients, it's my pleasure to turn it over to Rick.
Rick Wurster: Thank you, Peter, and hello, everyone. In the winter business update, I described how well Schwab is positioned to sustain our organic growth rate of 5% to 7% over the long term through a combination of growth from existing clients, attracting new clients and growth from our strategic initiatives. First quarter was a great example of this as we grew net new assets by over 7%. As I shared with you our business results, I'd like to leave you with 3 takeaways. First, our business is thriving, and we again delivered strong organic client growth. Second, through the volatility in March, we saw an increase in net new assets and client engagement and asset flows that the bank remains steady. We emerged from a crisis not weaker, but stronger. Third, our strategic initiatives are paying off and lots of opportunity remains. Let's dive into the results in more detail. To put it simply, we are winning across all fronts. We're winning with existing clients, with new clients and on both the retail and RIA sides of our business. Within Investor Services, we attracted $60 billion in core net new assets. In addition, we saw an 18% year-over-year increase in high net worth, net new assets in the quarter. Our note trade-offs approach continues to attract clients and engender trust from our existing clients, and that was particularly true in a period of uncertainty. As I mentioned in our winter business update, our client base continues to get younger with 56% of new-to-firm households under 40 this quarter. This is notable because with an average age under 50, our clients are still accumulating assets. Within Advisor Services, we had an outstanding quarter of growth with $71 billion in core net new assets. When the going got tough in March, our growth accelerated with $32 billion in NNA in March alone in Advisor Services. In periods of uncertainty and heightened volatility, advisors win. They win because they are trusted fiduciaries with clients' best interest in mind. And we win because we are the trusted partner of RIAs and partner with them to deliver for clients in all environments. Our TOA ratio remained high and was in excess of 2% for the quarter. We are committed to helping RIAs of all sizes grow by delivering the leading custody platform with no fees, alongside practice management support, industry advocacy and relationship support RIAs can count on. There are no trade-offs. In summary, our business is thriving. Our note trade-off approach was recognized by the industry. The third-party accolades you see on the screen speak to the way we serve our clients each and every day. We were recognized by Investor's Business Daily as the #1 online retail broker overall, by J.D. Power as the #1 full-service broker and for the sixth consecutive year Schwab was named one of Fortune Magazine's top 50 World's Most Admired Companies. I'd like to turn now to our strategic initiatives of scale and efficiency, win-win monetization and client segmentation. We are continuing to advance these initiatives within our strategic focus areas. And as I mentioned, these are paying off with tangible wins in the first quarter of this year. Let me start with scale and efficiency. Integration remains our top priority. We successfully completed our first client transition group in February, bringing over around 500,000 client accounts, including a small number of advisors. Service teams achieved an average speed to answer of just 6 seconds during the conversion, a good indication of how seamlessly the transition went after years of preparation. We remain on track to bring over 13 million clients this year, representing 97% of Ameritrade clients, with the remaining 3% our most active traders coming over in 2024. And as Walt mentioned earlier, we are on track to achieve $1.8 billion to $2 billion in run rate expense synergies by the end of 2024. Most important is the client benefit we see. In retail, clients will benefit from the combination of our modern wealth management platform, alongside the leading trading and education platform in the industry. For advisors, we will add iRebal and thinkpipes, 2 capabilities advisors love to an offer that as it stands as no trade-offs. Turning now to win-win monetization. One of our priorities is growing our wealth business. Wealth is an area in which we delight clients, as the Client Promoter Scores of wealth clients are typically the highest at Schwab. Our clients are increasingly asking for help and advice, providing us with a growth opportunity, and wealth offers a diversifying source of economics to us as a business. We've been investing heavily to deliver for clients and accelerate our growth, and we saw meaningful progress in the first quarter. Net flows into the Wasmer Schroeder strategies were $1.5 billion and assets under management surpassed $17 billion. This is a clear example of a win-win opportunity for clients in Schwab. The offer brought down the cost of access to fixed income managed accounts on Schwab's platform and interest from clients has been strong as Wasmer represented the majority of net flows in the fixed income managed accounts. We launched several key enhancements to Schwab Personalized Indexing, including more customization and digital capabilities. Retail clients who work with Schwab FC can now exclude more individual stocks as well as entire industries and sub-industries from their portfolios. We also launched a digital dashboard for retail clients that shows a real-time view of their account value and highlights clearly the value of tax loss harvesting. And clients continue to turn to Schwab for advice during market volatility. Schwab Wealth Advisory had $3.2 billion in net flows in the first quarter, the highest quarter of net flows in the history of the offer, as both Schwab and Ameritrade clients increasingly find the offer attractive. Finally, we continue to meet the specific needs of our client segments. We are launching this year Schwab Private Client Services and Schwab Private Wealth Services for our high net worth and ultra-high net worth clients. We are winning with this client segment today and the differentiated service, support and offering will further add to our no trade-offs experience for this client segment. Our world-class trader offering remains unparalleled in the industry. We released new features on thinkorswim while preparing to convert thinkorswim clients and preparing to make the offer available to Schwab clients this year. Another key priority in this focus area is to provide tailored solutions and experiences for RIAs of all sizes. In the first quarter, we acquired Family Wealth Alliance, a membership organization that provides resources to the family wealth community serving ultra-high net worth clients. The acquisition continues a relationship that has existed between the 2 companies for years. And together, we'll be able to expand the services we offer for multifamily offices and single-family offices. We are thriving and our growth initiatives are paying off. I shared in the winter business update some of the statistics you see on the left side of this page. They show we have lots of opportunity in front of us. We remain confident we can close the share of wallet opportunity I described by introducing clients to the collective capabilities of our integrated firm. We also believe we can accelerate the growth of our wealth business, both at Schwab and by introducing it to Ameritrade clients. We saw very positive signs this quarter as it was our strongest quarter of flows ever into full-service wealth solutions. And 95% of eligible Ameritrade FCs enrolled a client into a wealth solution, a very promising sign for the future. We continue to invest in our lending platform to increasingly be there for clients in the future. And finally, the combination with Ameritrade allows us to enhance our trading capabilities for a highly engaged and important client segment. Investing in a thinkorswim platform and bringing the powerful platform tools and education to our trader clients will be an important differentiator for Schwab as we look to the future. I'd like to wrap up where I started. We are in a position of strength. Our business thrived in the first quarter and our growth accelerated through the recent market volatility. The virtuous cycle will continue to help us sustain attractive organic NNA growth from both new and existing clients. We are continuing to execute on our key strategic focus areas of scale and efficiency, win-win monetization and client segmentation. We saw meaningful impact from some of those initiatives in the first quarter, while other initiatives will help accelerate the growth of our business into the future. We are delivering wins for clients and the firm each quarter. The future is bright. With that, I will turn it over to Jeff for Q&A.
Jeff Edwards: Operator, let's turn to the queue and please remind everyone how they can ask a question that they'd like.
Operator: [Operator Instructions] And our first question is from Dan Fannon with Jefferies.
Dan Fannon: A lot of debate that this cycle has raised the client awareness for cash. And given the ease of access and movement today, the historical cash allocations are likely to be different going forward. So as you look over the long term, how do you think about sweet cash in the percentages and how that may be different than what we've seen historically?
Walt Bettinger: Thanks, Dan. I'm going to go ahead and comment on this. So I think when you look at client cash realigning, we feel fairly confident that the metrics we've shown have good basis in history. I guess I would encourage you to think of a client cash aligning. It's an event, it's not a process. And I'm going to illustrate that by an example. If you have a retail client that has, say, build up $50,000 in cash during the pandemic period. And they look at that and say, well, I want to keep 20,000 of that liquid available for immediate trading or other uses, paying bills, they don't take that $30,000 and say, "Well, I'm going to move $10,000 this quarter and $10,000 next quarter and then $10,000 several quarters in the future." It's an event. They reinvest the $30,000. And so what you generally will see is you'll see a rapid acceleration of client cash realigning early in the process of rate rise, let's call it in the first year. And then you begin to see it go the other way. And we think, as it goes the other way, it goes the other way in a relatively accelerating manner because, again, the event has occurred. The client, in my example, has moved their entire $30,000. So we understand the question. We think that the cash, as we indicated, the cash realigning process is slowing. We are very encouraged by what we see in April with measurable slowing. Again, we're looking at 3 consecutive months of declines, and we feel very good about the chart and the results we're able to share with you.
Operator: And does that conclude your question Mr. Fannon?
Dan Fannon: Yes.
Operator: The next question is from Rich Repetto with Piper Sandler.
Rich Repetto: Walt and Peter, and first, thank you for doing the timely call. And at least I hope you consider this format going forward. But I guess my question is sort of related to the first question. There was -- we calculate $44 billion, I guess, in declining balance sheet, cut cash or uninvested sweep cash. So -- and helped by organic close in March that you talked about. But my question is, your terminology has changed a little bit, I think. But anyway, do we still expect 8% to 12% decline in the average interest-earning assets, Peter? And that's factoring in sort of this protection of AOCI. Does that factor in it if you're even at all trying to keep aware of that or manage that risk. So the 8% to 12% average interest-earning asset declined by December 1 -- December?
Peter Crawford: Thanks, Rich, for your question. So yes, we still do think that 8% to 12% decline in interest-earning assets is the right way to think about it. The way that we fund those assets may be a bit different than what we had anticipated when we shared at the winter business update, but the overall asset decline is a function of the assets rolling off and that sort of the gradual roll off of our securities portfolio.
Operator: The next question is from Alex Blostein with Goldman Sachs.
Alex Blostein: I was hoping we can double-click on some of your capital management comments. It sounds like if you were to start to include AOCI changes in capital, you expect it to be a bit of an organic build, and you provided some sort of stats around it. Why not sell a significant chunk of the securities portfolio? I understand it will crystallize the loss, but your Tier 1 leverage actually will not move significantly when you do that. So help us think through maybe some puts and takes from doing something like that, taking the loss but also at the same time, significantly enhancing the firm's earnings power since $60 billion plus of that securities book is massively at the water?
Peter Crawford: Thanks for the question. So I guess I'd say a couple of things. Certainly, you are right that if we were to sell the securities -- a meaningful portion of our securities portfolio, it would actually be accretive to our capital levels, if you included that -- or certainly agree to our tangible capital levels. We said multiple times that we see no reason, no need to be forced to sell securities, given the strong -- the ample access to liquidity and the nature of our deposit base and so forth. Beyond that, just don't really want to speculate or sort of talk in hypotheticals about the conditions under which we would sell that securities portfolio. I just would say that we see no need to do so. But of course, we're always going to be thinking about what's the right thing for stockholders, but we see no reason to do so and certainly wouldn't do it right now, given sort of some of the volatility, if you will, in the market around firms that have made that decision.
Operator: The next question is from Ken Worthington of JPMorgan.
Ken Worthington: You broke the BDA investments, I think, in the third-party BDAs this quarter. With BDA balances down $20 billion in 1Q '23 and floating rate securities down to $2.2 billion in the quarter, do you foresee having to break the TD managed BDA investments? If so, is this a charge that you would be responsible for? And what do you foresee as the charges needed to maintain this program, given your outlook for sorting this year?
Jeff Edwards: Ken, it's Jeff. Obviously, that's -- there's a lot of nuance with that question and just kind of in the interest of time, why don't we circle up kind of offline and we can walk through kind of what's available there and all the public disclosures. So I'll give you a chance if you have one other question you want to touch on.
Operator: The next question is from Brian Bedell with Deutsche Bank.
Brian Bedell: Peter, if you could just comment on the pace of the wholesale borrowing. If we are seeing the cash sorting flow throughout the year, why not wind that down more quickly instead of having that conclude more in 2024? It seems like if you are in a position where the balance sheet will start growing again later in the year, you would be in a position between the organic growth of cash coming in from the securities portfolios and cash growth from clients that you could potentially wind most of that down certainly by year-end or at the beginning of 2024? Any comment on the pace of that.
Peter Crawford: Sure. So some of the -- certainly, the CDs that we issue are termed out. So it's not like we can recall those necessarily. And the FHLB advances have different terms. But as I mentioned, we -- the decision to build up cash in March meant that we front-loaded some of that activity. So of course, if we -- as we see the pace of this client realignment slow, very reasonable to expect that, of course, we will initiate less advances and let those advances that we have roll off. And so absolutely, we could see this roll off very, very quickly, even as we start to see a resumption of deposit growth over the course of latter part of '23 and then into 2024. And so I mean, the key point on these advances is these are limited and they're temporary. This is not something that is going to be part of our long-term financial picture, and we will certainly pay them off as quickly as we can.
Operator: The next question is from Mike Cyprys with Morgan Stanley.
Mike Cyprys: I want to circle back multiyear commentary around the ability to deliver substantial expense savings beyond the $500 million to $600 million or so. I was just hoping you might be able to help quantify how meaningful that could be? Is that $1 billion? Is that $2 billion? And maybe you can expand on where that's coming from? What are some of the actions that you guys might be able to take to hit that? And how do you ensure this doesn't hit the overall growth in customer and overall assets?
Walt Bettinger: Yes. Thanks, Mike. So I don't think, at this point, we're going to quantify the extent that we believe that we can generate ongoing expense saves beyond the $500 million to $600 million that we have committed to and have remaining in the integration, but we think it is substantial. And yes, it's important to keep in mind that, as we approach this integration, one of the decisions we made was that getting the integration right was our #1 priority. And therefore, we were willing to spend quite aggressively along the way to ensure that there was nothing that got in the way of ensuring the integration went as well as smoothly as it could possibly go, even if it meant ratcheting up spending to a level that was much higher than maybe we would have thought several years ago. So we have the opportunities that I mentioned, and then we have the opportunity after multiple years of allowing spending to grow relatively quickly to do a step back and evaluate it overall. And our early work gives us the confidence to say that it is meaningfully higher than the remaining synergies, but I don't think we're ready to quantify it yet. The one thing I will make clear though is, as we have done in the past when we made moves around expense that were significant, we will protect the client experience. So we will not be looking at impacting the parts of the organization that build relationships with clients that serve clients and that deliver that client experience.
Operator: The next question is from Bill Katz with Credit Suisse.
Bill Katz: Also appreciate you tightening up the window between this and the earnings. Super helpful. Walt or Peter, just a question, as you think about lessons learned from this cycle versus prior cycles, and I appreciate you're consistently running the franchise, but should we be assuming a higher core deposit beta all else being equal to avoid these kinds of dynamics we've all experienced in the last month or so? And on the other side of the earning asset side, would you envision running a more liquid earning asset strategy, all else being equal?
Peter Crawford: Yes. So thanks for the question, Bill. So in terms of the deposit pricing, if you will, I mean, our philosophy on that hasn't changed, right? Our clients keep -- as we know from history that our clients have sort of 2 buckets of cash, their transactional cash and their investment cash. And our philosophy on the transactional cash is to offer a rate that is very competitive. Certainly, today is at 45 basis points. It's a lot better than what clients can earn in their checking accounts at most of the traditional banks and then to offer our clients a range of options for their investment cash that are, in many cases, industry leading, whether that's access to treasuries or brokered CDs or purchase money funds or whatever it might be. And what we've seen is -- and that's served us well for multiple decades. And whether we pay 45 basis points or 65 basis points or 100 basis points for that transactional cash, it doesn't make -- it makes very, very little influence on client behavior. So I don't necessarily see that aspect of our philosophy changing. Of course, we'll -- as we always do, we'll learn from the experience from what we learned about client behavior, we'll have to take into consideration potential regulatory changes and we'll adapt. And -- but I have every confidence that we'll thrive as we have every time we've faced changes around us previously, whether it was when the dot-com bubble burst in 2000 or whether it was when we launched the bank and came under Fed supervision or went to 0 commissions in every single situation, we adapted and we came out the other end even stronger than we were going into it. And that's because we stay -- as Walt and Rick talked about, we stay focused on our clients and doing right by our clients. And if we do that, everything else will take care of itself.
Jeff Edwards: Great. And operator, I think we have time for one last question.
Operator: Our last question is from Ben Budish with Barclays.
Ben Budish: I just wanted to ask kind of about your approach to buybacks. You mentioned earlier in the call that you had suspended them for the meantime. What are the sort of data points you are looking at or indicators that would cause you to get more positive and feel comfortable resuming there?
Peter Crawford: Yes. Thanks, Ben. I think what we would like to see a little bit more clarity on the regulatory front and what's going to happen with how capital is treated and a time line there. As I said, we feel very confident in our ability to build into the potential inclusion of AOCI into our regulatory capital ratios, but we'd like to see a little bit more clarity there before we would, I think, strongly consider or look to resume the buybacks. Of course, our buybacks are always opportunistic, not programmatic, as we've said multiple times, but I think that's probably one of the key points we want to wait for.
Jeff Edwards: We'll turn it over to Walt to close this out today.
Walt Bettinger: Thanks, Jeff, and thanks, everyone, for joining in and participating, and thanks for the feedback on the timing of this update relative to our earnings report, and please continue to provide that feedback. And we'll be -- look to be responsive to what we hear from all of you around the best time to do these updates. I think, as all of you know, I've been doing this a long time. This is my 15th year as CEO of Schwab. And during that time, I've seen a lot of different environments. Good is as well as much more difficult ones. But when I look at that history, what's consistent to me is that long-term success comes from maintaining a focus on clients. There are always going to be circumstances that come up on a periodic basis that have more of a short-term impact. And we're well aware. We're not oblivious to what's going on. We also know that we have driven much of what has gone on that has affected our near-term earnings because we've been proactively reaching out to our clients of all sizes for the last year and explaining to them the options that they should consider with their investment in cash. But again, I'd like to put this in the context of what I led with around clients. It's the right thing to do. And it's what we would do during this environment if we're faced with this environment again. We're well aware that long-term success comes from a focus on clients. And we're well aware that our bank is unique as it serves as a bank for investors. We're also well aware that as storms come, storms also go. Eventually, they come to an end. And what we know from history is that when those storms and the firms who stand tall or those who have a focus on clients. And that's something that I believe you can count on for Schwab as you have for many years in the past and can count on again in the future. Thanks again for all of your time today. We very much appreciate it, and we appreciate the thoughtful questions.
Operator: Thank you. That concludes today's conference. Thank you all for participating. You may disconnect at this time.